Operator: Good day, ladies and gentlemen and welcome to the Pebblebrook Hotel Trust Fourth Quarter Earnings Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Raymond Martz. Please go ahead, sir.
Raymond D. Martz: Thank you, Lisa. Good morning, everyone and welcome to our fourth quarter and yearend 2015 earnings call and webcast. Joining me today is Jon Bortz, our Chairman and Chief Executive Officer. Before we start, quick reminder that many of our comments today are considered Forward-Looking Statements under federal securities laws. These statements are subject to numerous risks and uncertainties, as described in our 10-K for 2015 which we filed last night and our other SEC filings, and future results to differ materially from those implied by our comments. Forward-looking statements that we make today are effective only as of today, February 23, 2016, and we undertake no duty to update them later. You can find our SEC reports and our earnings release, which contains reconciliations of the non-GAAP financial measures we use on our website at pebblebrookhotels.com. With that let get's started. Throughout 2015 we continue to make progress improving the operating performance of the portfolio as well as completing several large transformative renovation and reposition in projects. For 2015 our hotels generated the same-property EBITDA increase of 8.3%, adjusted EBITDA grew 31.5% and adjusted FFO per share increased 27.6% with $2.50 another great year of growth for Pebblebrook. And since 2011 we have achieved a compounded annual adjusted FFO per share growth rate of 26%. Our 2015 same-property RevPar was up 3.3%, but the room revenue up 3.9% due to the increased in average room count during the year as we are able to add 52 guest rooms to create design efforts as part of our several recent completed renovations programs. This is important as increase to the room count usually has an adverse effect on RevPar, but the positive impact on revenue and ultimately cash flow, which is why we are focused. Excluding the Manhattan Collection our same-property RevPar grew 4.6% with the room revenue rising 5.2%. Again, the increased room accounting for the difference. Our properties on the West Coast produced a 4.7% RevPar growth made for the year and our properties on the East Coast generated 1% gains. Later on the call, Jon will provide more specifics of the results and trends within the portfolio as well as the opportunities for 2016. Our hotel has generated $281.9 million of same-property hotel EBITDA for the year, which represents an 8.3% growth rate. same-property hotel EBITDA margins improved the 148 basis points to 33.1%. total the hotel revenues grew 3.5% or the hotel expenses were limit to a 1.2% increase. The slow growth rate in operating expenses reflects the progress we continue to make improving the operating efficiencies of our hotels, which we expect will continue into 2016. Excluding the Manhattan Collection our wholly owned same-property EBITDA increased 11.2%. The hotels with the highest EBITDA growth rate in 2015 was LaPlaya Beach Club and Resort, Hotel Vintage Seattle, The Union Station Nashville, The Prescott San Francisco, W Boston, Embassy Suites San Diego and the Nines, Portland. Not reflected in our hotel EBITDA adjusted EBITDA and adjusted FFO was results were approximately $1.7 million of additional net cash flow in the 25 net memberships sold by our LaPlaya Beach Club. Turning now to some of the specific highlights from our fourth quarter results. same-property RevPar growth for the total portfolio increased to modest 1.7%, which is below our 2.5% to 4.5% outlook. This result was largely due to softer than expected corporate trending demand, which got weaker as the quarter progress for the noticeable fall of in December. Room revenues increased 2.4% in the quarter. In terms of markets New York, Boston, Washington D.C. and West Hollywood with Beverly Hills were our weaker than expected markets in the quarter. Overall for the quarter, transient revenue which makes of that 25% of our total portfolio room revenues was up 2.2% compared with the prior year with the ADR grown 0.5%. Group revenues rose to 0.5% in the quarter and room rates were down 1.2%, but ADR increased 2.1%. Our properties located on the West Coast generated RevPar growth of 5.2% in the fourth quarter led by our hotels in San Diego, which benefitted from a strong convention calendar as well as Portland and Seattle which had healthy demand growth. Our properties on the East Coast experience a RevPar decline of 3.2%, which was driven by 5.7% RevPar decline by our New York properties as room rates were under pressure throughout the quarter. Because of these factors, some of the RevPar for our portfolio increase 4.4% in October 1.7% in November with December declining 2.1%. As a reminder, our Q4 RevPar and hotel EBITDA results of same-property for ownership period and include all the hotel here owned as of December 31, expect for the Prescott Hotel San Francisco because this hotel is closed on November 1, for renovation. RevPar growth in the fourth quarter was led by Embassy Suites San Diego, Westin Gaslamp, Skamania Lodge, W Los Angeles - West Beverly Hills and Hotel Vintage Portland. Our same-property hotel EBITDA of $69.2 million was slightly below our outlook of $70 million to $72 million as a shortfall in RevPar was probably offset by strong food and beverage revenue growth particularly from the group segment. The hotel represents growth leaders in the fourth quarter were Embassy Suites San Diego, LaPlaya Beach Resort and Club, W Los Angeles - West Beverly Hills and Skamania Lodge. Moving down to income statement adjusted EBITDA was $64.4 million which was in line with our outlook as a short fall and hotel EBITDA was offset by savings and corporate G&A expenses including incentive compensation, preopening expenses and legal fees. Adjusted FFO was $44.7 million, which was at the upper end of our outlook range and we experienced interest expense savings and lower overall capacities for our TRF. On the capital market side of our business during 2015 we originated $375 million of additional five and seven year term loans plus we completed a very successful $100 million senior private notes offering and a volatile capital markets environment and as we leverage interest rate of 4.79% at an average maturity of 8.8 years. This was our first transaction with this segment of the debt market. These combined debt finances provides the longer-term capital pay off all of our 2015 and early 2016 debt maturities for plenty of availability on our $450 million credit facility as well as extend and lengthening the debt maturity for our portfolio. Our weighted average debt maturity now stands at 3.8 years. Our weighted average interest rate is 3.7% and 91% of our total outstanding debt is at fixed interest rate. On February 8, we announced that we would be redeeming our $140 million Series A preferred equity shares when it is callable on March 11. The further redemption of the Series A preferred which has a 7.875% dividend rate, we intend to utilize our credit facility, which is based on our projected leverage ratio will have an interest rate of less than 3%. On the full-year basis redeeming the Series A was funds from the credit facility decreased of the cash flow of the company by more than $6 million which is $0.08 to $0.09 on a per share basis. In terms of balance sheet and liquidity, at year-end our debt to EBITDA ratio is 4.7 times and our fixed charge ratio is 2.9 times. Excluding the debt associated with the Manhattan Collection our debt to EBITDA ratio was 4.3 times and our fixed charge ratio was three times. We currently have $45 million outstanding on our $450 million credit facility with a redemption of the $140 million Series A preferred being funded by line we have plenty of liquidity to pay out with two remaining 2016 debt maturities totaling $85 million as well as $85 million of 8% Series B preferred, which we can redeem in September. If we chose not to use our credit facility to pay out these debt maturities or preferred redemption we have several other options and we continue to see active interest from the bank and CMBS market for debt financing. Although credit spreads have widened since December and loan devaluations have become slightly more constrained trigger rates have also declined. So the overall cost of financing for low leverage borrowers like us has only slightly increased it remains very low. Furthermore, with a high quality and excellent location of our hotels combined with our more conservative leverage requirements, we believe that we'll continue to have multiple avenues for our debt needs. As we saw as recently as January when we completed the $150 million new term loans. Debt capital is available from a wide array of banks and its available for both balance sheet and CBS loans. Regarding our common dividend as we noted in our earnings release from last night, we anticipate increasing our quarterly common dividend from $0.31 to $0.38 per share in 2016, an increase of 22.6%. at Friday’s closing stock price this increased dividend represents a yield of 5.7%. and It's worth noting that over the last five-years our common dividend has grown at a 26% compounded annual growth rate. And with that good news, I would now like to turn the call over to Jon to provide more insight on the year as well as our outlook for 2016. Jon.
Jon E. Bortz: Thanks Ray. 2015 was a year of many positives as well as some disappointments. Despite a significant deceleration in our expected rate of RevPAR growth for the year, we still managed to grow same-property EBITDA by 8.3% or $21.6 million with same -property EBITDA margin climbing a 148 basis points. We had great success working with our operators implementing best practices that limited total same-property expenses to just 1.2%, pretty amazing accomplishment and one we're quite proud of. We made a lot of progress in improving food and beverage operations including leasing out restaurants, creating saleable meeting in social venues and continuing to right size staffing levels as appropriate. We also implemented strategies to drive ADR and EBITDA at numerous hotels, especially at some of our more recently acquired properties, yet we had only mixed success. In a number of cases such as Union Station Nashville, Westin Coral Gable and The Nines, we were very successful. Yet at Palomar Beverly Hills and Revere Boston Commons we sacrificed too much occupancy for rate and didn't execute well enough to replace lower rated business with enough higher rated business. We believe that with leader changes and strategy changes at both the Palomar and Revere, 2016 will be a much better year for both properties and we're already seeing that based on sales and operating performance in the first quarter. In the first half of 2015, we completed three major renovations, successfully transforming Vintage Portland, Radisson Fisherman's Wharf, which became Hotel Zephyr Fisherman's Wharf and WLA West Beverly Hills where we also added 39 keys. These projects were all very successful in their transformation as customer reviews have been fantastic, yet in the case of both WLA and Zephyr we were overly optimistic last year as related to the speed in which we would ramp up coming out of these major disruptive renovations. With customers loving all three of these newly recreated hotels, we've been gaining momentum since the third quarter. We have very healthy EBITDA growth at all three hotels in Q4 roughly $1.5 million combined and first quarter growth looks to be substantially stronger. All three hotels will be very significant contributors to our RevPAR growth and EBITDA growth throughout 2016. We also had an outsized number of leadership changes throughout our portfolio in 2015. Some of these were voluntary and many of these were changes we and our operators felt were necessary to improve long-term performance. These changes for the most part are now complete and we feel optimistic that not only do we have much improved leadership, but we could have more stability in 2016 as well. The macro economy and global travel trends also didn't play out as we expected at the beginning of the year. In many cases headwinds strengthened as the year progressed and the global economy weakened during the year particularly in previously fast growing emerging market countries. The dollar on average strengthened throughout the year, negatively impacting travel in two ways. First, in bound international travel weakened all-year impacting major gateway cities the most. And second, U.S. citizens took advantage of a strong dollar and substantially increased their travel abroad thereby reducing their domestic travel particularly in major cities. Positive factors such as meaningfully lower air fares and increased international airlift capacity to the U.S. failed to mitigate these headwinds as much as we have thought they were at the beginning of last year. In addition, short-term rental companies such as Airbnb which have evolved from predominately sharing their news into marketplaces with a large percentage of commercial investors operating [Elajo Hotels] (Ph) hotels created more compensation for hotel guests as the year progressed especially during major events, but also for leisure travelers including international travelers and families more accustom to renting apartment in urban environments. We believe that many cities are getting a better understanding of what these short-term rental companies have become and recognize the harm they are creating by both significantly reducing affordable housing as well as lowering the quality of life through disruptions from illegal operations in neighborhoods not zone for commercial operations or transient customers. As a result, over the next several years we believe cities will better regulate limit and enforce the laws that limit this illegal and disruptive behavior. Finally, the advent of new technologies that monitor constantly changing prices combined with non-existent cancellation policies and brand loyalty programs that create incentives through revenue managers to lower rates as arrival dates approach resulted an increasing challenges growing rates in many major cities as the year progressed. Customers have been adapting their behavior to take advantage of these lower rates being offered by hotels by cancelling higher price reservations at a much more rapid pace as the year went on and rebooking at either the same-property or other competitive properties in the market at lower rates. On a positive note, we believe that over the next year or so we will see significant changes in cancellation policies, pricing approaches and brand royalty reimbursement formulas that should successfully address this relatively new, but increasingly pervasive and challenging issue. For 2015, we grew same-property RevPar 3.3% well below the industry’s 6.3% growth rate. This was just the first year in the last five-years that we did not handily outperform the industry. With same-property RevPar growing 3.3% and with the addition of an average of another 42 rooms, room revenues grew 3.9% for the year. Same-property total revenues increased 3.5% as the outsourcing of restaurants and food and beverage operations to third parties lowered our revenues, but increased our profits. Same-property hotel expenses were held of just the 1.2% increase for the same-property hotel EBITDA increased a very healthy 8.3%. Same-property net operating income after the assumption of the 45 capital reserve growing even stronger 9% in 2015. And as a reminder, we mentioned NOI, because this is the number typically used in the private markets for valuing properties. With the benefit of the acquisitions made in 2014 and to a lesser extent those made in the first part of 2015 adjusted EBITDA for the company increased 31.5%. This is on top of 2014’s 31.4% growth and with a very well managed balance sheet adjusted FFO per share for 2015 climbed by 27.6% to $2.50 following 2014’s 33.3% increase. While we're very pleased with our performance in 2015, particularly given the challenges in the macro environment during the year as mentioned earlier we’re nevertheless disappointed compared to our expectations at the beginning of the year and even more recently our expectations at the end of the third quarter. And not surprisingly, we’re very disappointed in the performance of our stock in 2015, as psychology on this sector changed dramatically from early last year. When we look at last year's overall industry trends, we saw a very choppy performance throughout the year. Forecasting for 2015 as we've previously discussed was extremely challenging throughout the year, sometimes transient was strong and group was weak and sometimes it was the other way around. Some months saw a strong leisure business and weak business transient travel and other months it was the other way around. Overall, demand and performance weakened as the year progressed and slowed more substantially in the fourth quarter as we witnessed more sustained weakness in business trends and travel. And obviously we failed to get ahead of the weakening trends with our forecast throughout the year. With softening international travel negatively impacting the major cities along with the impact from the short-term rental companies at the margin urban markets underperformed during the year as did the luxury and upper upscale segments. Travel in the upscale and mid scale categories continue to be strong in 2015 as the economic recovery again broadened out to include more of the social economic metal. Overall, industry demand growth of 2.9% moderated from 4.5% in 2014. With industry supply growth again restrained in 2015 at just 1.1% industry occupancy rose 1.7%. Unfortunately, urban markets overall significantly underperformed partly due to the heavy influence of a very poor performing New York and a still weak but better performing Washington DC, but also because of the issues I discussed earlier. Now I would like to turn to a discussion of our views and outlook for 2016 for the lodging industry and our company. So let's start with the industry. We're appropriately cautious about 2016 given the weakening and more uncertain macro and economic environment. Our forecast assumes U.S. GDP increases between 1.5% and 2% this year. We currently expect industry demand to grow between 2% and 2.5% with supply increasing between 1.7% and 2% resulting in occupancy remaining flat to growing as much as 0.8%. We expect ADR to increase between 3% and 4% leading to RevPAR growth of 3% to 5%. We're currently forecasting that the urban markets will underperform the industry by between a 150 and 200 basis points, so growth of roughly 1% to 3%. For Pebblebrook given our positive West Coast weighting and the ramp up benefits of our renovations the last several years we're forecasting that we'll be able to grow same-property RevPAR for our portfolio by 2% to 4% a 100 basis points better than our forecast for the urban market segment. Based on this, we're forecasting same-property room revenues to grow at a range of 2.7% to 4.7% taking into account 2016's extra day and a 1.5% increase on average in the number of rooms in our portfolio. This year is off to a good start with our same-property RevPAR in January increasing a healthy 6.2% as compared to the industry's 2.4% and February should be higher than January aided by a very strong Super Bowl performance in San Francisco. Overall portfolio performance for the year will be stunted by renovation at the Monaco DC and Nines Portland which are just being completed now, as well as repositioning renovations at Nashville Union Station and Westin Coral Gables, which will be completed this summer. And renovations that are expected to start late this year at Palomar Beverly Hills, Mondrian LA and Revere Boston Commons. These projects which have a negative impact in the short-term create significant growth and value in the long-term as proven by our historical results. Benefits of our most recent major renovations will significantly enhance our performance in 2016 and our already evidenced in our January results. In the first month of the year alone, EBITDA a Zephyr has increased $468,000 over January of 2015. WLA has increased $635,000 and Vintage Portland has grown $276,000 for a combined $1.38 million. While we expect the Prescott Hotels transformative renovation to be completed by the beginning of the second quarter if not sooner. We're being cautious about the ramp up of the property as the new hotel Zeppelin. So we're forecasting it to be a drag on overall RevPAR and EBITDA growth in 2016 and that is build into our outlook. Our outlook for same-property EBITDA growth for 2016 is a range of 1.9% to 6% with adjusted EBITDA growth forecast between 6.3% and 11%. same-property EBITDA margin is expected to grow by 25 to 75 basis points in 2016. As a result, adjusted FFO per share is forecasted to increase to between $2.67 and $2.84 or a growth of 6.8% to 13.6% with the midpoint just over 10%. Given the current uncertainties with the global and domestic economies and recent travel trends, we've widened our outlook range for RevPAR growth for the year from a 100 basis points last year to 200 basis points this year and we've widened our range for the rate of EBITDA growth for the company to almost $12 million. For the first quarter of 2016, we're forecasting same-property RevPAR growth of 3% to 6% with same-property room revenue increasing 4.8% to 7.8% which takes into account the extra day in February as well as the benefit of an average of 50 more rooms or 0.6% in the quarter. Our outlook for same-property EBITDA is $56.5 million to $59.5 million or an increase of 5% to 10.6% for Q1. We expect adjusted EBITDA of $48.8 million to $51.8 million for the first quarter, an increase of 25.7% to 33.5%. Our forecast for adjusted FFO per share is a range of $0.43 to $0.47 or an increase of 26.5% to 38.2% for Q1. Since we clearly discuss the number of headwinds for the industry, I wanted to mentioned a couple of positives in order to make sure you understand that our view of 2016 overall is much more balanced. Invasion calendars overall in 2016 remain pretty favorable with most of the major cities showing either increases or flat city wides and room nights compared to last year. The Pebblebrook our pace for 2016 is currently pretty robust, though we are cautious due to the weakness we have seen over the last few quarters in bookings in the quarter for the quarter. At the end of January, group room nights for 2016 were up 5.7% with ADR up a strong 9% and total group revenues on the books up 15.2%. Group room nights are down in quarters one and four with the first quarter being negatively impacted by Easter’s move from April last year to March this year. Nevertheless our first quarter group revenues are currently up 6.6% with ADR up 8.2% and group room nights down 1.5%. This strong rate growth in Q1 is partly due to the success of our hotels in San Francisco which did very well over the J.P. Morgan Healthcare conference in January and sold out with primarily group rooms at attractive rates over Super Bowl. While group only represents about 25% of our forecasted room nights, transient pace is also favorable with transient room nights up 14.2% for the year with ADR down 0.3% and transient revenues up 13.9%. We've been successful with the change in strategy that has retinas focus on getting more business on the books further out when appropriate in order to help offset the negatives we've been seeing with short term bookings and near term transient cancellations. Overall, both group and transient combined our pace is up 14.5% in revenues on the books compared to same time last year with ADR up 4.1% and room night up 10.1%. This certainly represents the good base to work from for 2016. In addition, we had a very successful corporate contract negotiation seasons throughout the portfolio, while this segment only represents between 10% and 15% of our business it's encouraging that our average increases were in the mid to upper single-digits throughout the portfolio with the exceptions being low single digit increases in New York, Washington D.C. and Philadelphia. Again, this doesn't guarantee volume, but it is nevertheless so positive for 2016. Finally, I wanted to take some time discussing some strategic plans we are in the process of putting in place. As you are well aware, our sector have seen a significant shift in interest from public securities investors concerned about factors that have been negatively impacting the growth rates and fundamentals in the sector as well as those seriously concerned about an in pending recession. While we don’t buy into the recession scenario for this year or next year we do nevertheless agree that the weakness in the global economy, soft corporate profit growth and other factors have certainly increased the possibility of recession in the U.S. or at the very least to likelihood of the slower growth path for the overall economy. At the same time, capital continue to flow into the private real estate investment sector and combined with foreign capital looking for either higher yields and treasuries or capital safety. There continues to be solid buyer interest in high quality hotels in major cities in the United States particularly those that are unique or have brand and or management available. And with the dramatic decline in our public market value along with the sector, there is currently quite a wide gap between the value that the public markets are ascribing to our company and hotels and the values we believe private market investors are likely willing to pay to own our hotels. Based on what we know today we believe that the current value of our hotels on a private market basis is conservatively somewhere between $38 and $42 per share. Of course, this provides no value for management our expertise and track record in creating value or our attractive financing or the value of putting together a portfolio such as ours. And while there has been much talk about the volatility in the debt markets reasonably priced debt at historically normal leverage levels continues to be readily available through banks the CMBS market and alternative lending sources to consummate transactions by investors who are not all-cash buyers. As a result, together with our board, we've made a decision to retain investment brokers to market for sale of select number of our hotel and non-hotel real estate portions of our properties where we believe there is a wide gap between the underlying private market value and the value that public market is ascribing to our underlying asset. In addition and as we've discussed previously we've retained investment brokers in the fourth quarter to offer for sale our joint venture interest in the Manhattan Collection. The offering memorandum hit the market in mid January and we've seen significant interest in the joint venture interest as well as the individual asset and the entire portfolio for which we can trigger a sale process beginning in late July of this year. Our partner is also looking for a capital partner to replace us and avoid us triggering a sale of all of the hotels in the portfolio. Of course, there is no certainty that the sale will ultimately be consummated for our joint venture interest, the New York portfolio overall or any of the hotels or properties that we have placed or will place on the market. However, we do believe that there is and will be healthy interest in these assets, to the extent there are sales throughout the year, we will utilize proceeds to pay down debt including our line of credit, which is being used to call our Series A preferred, make distributions of capital gains that cannot be covered by our existing dividend, which we would do periodically during the year, provide capital to finance the redemption of our Series B preferred in late September should we choose to call them. And as announced yesterday as part of our earnings release repurchase up to a $150 million of our common stock from time-to-time as we deem it to attractive. Other than our disclosure about the offering of our interest in the Manhattan Collection joint venture we do not intend to announce or indicate which properties are being marketed or offered in the market, nor do we intend to provide an update on any of the activities unless and until a transaction is required to be announced. I hope you appreciate the benefit of this to our shareholders and the underlying businesses, which are operating businesses that can negatively impacted by rumors of potential sales. However, so you can better understand our efforts, we will likely be offering a limited number of properties that in the aggregate totals somewhere between $500 million and $1 billion, which includes our share of the Manhattan Collection JV. Today we have headwinds, tailwinds and crosswinds which are affecting both the economy and our industry, but we believe underlying fundamentals remain solid. And here at Pebblebrook we should continue to benefit from the renovations, repositionings and transformations we've completed, which are underway and are upcoming in the near future in addition to the implementation of best practices that are driving better margins and profits. We now will be happy to answer whatever questions you may have. Lisa?
Operator: Thank you sir [Operator Instructions] and we will take our first question from Anthony Powell from Barclays.
Anthony Powell: Hi, good morning everyone. Thanks for the color. Just a question on the sequential RevPAR expiration end of January from December, aside from San Francisco could you describe what the segments and what market maybe drove that improvement in the performance rather in January.
Jon E. Bortz: Yes, for us, there were a couple of other markets that were pretty healthy in the quarter, most notable of those would be LA and Portland. And from a segment perspective for us I think we had some good healthy growth in ADR in group, which again some of which was in San Francisco related to the JPMorgan Healthcare Conference, but we also had it elsewhere within the portfolio.
Anthony Powell: Okay, got it. And just on, generally on the cancellation policies and Airbnb and the impact that's having, it seems like that while customers are out there they are price sensitive and using these channels to search for lower pricing accommodation. Let's say the industry does a better job in improving cancellation policies and because Airbnb what do you think that would do to help to drive customers who are price sensitive to pay more for your hotels. It seems that the issue is that customers are price sensitive rather than you know willing to take pricing, say you have made progress how do you expect that to maybe drive some more performance for you.
Jon E. Bortz: Well first of all just to be clear, I want to make sure you and others understand. We don’t see a relationship between Airbnb and the cancellation policies. And obviously interestingly there is no cancellation ability with Airbnb, other than on a part of the host who can cancel your reservation anytime they want. So as it relates to cancellation policies, I think ultimately by giving the customer choice between no flexibility, medium flexibility and a lot of flexibility probably similar to what the airlines do you will have a ultimately various pricing that we think ultimately will solve part of the revenue management and management problem. Right now where it's becoming in some markets very difficult to manage the business and the answer isn’t just over booking, because the cancellations can be a bit unpredictable in terms of the level of volumes. So if you over book to much then you will lead to a lot of walks for your customers which would be un-happening customers and additional expenses. So ultimately we think the combination of pricing changes and likely ultimately some cost for making changes like we are staring at very low levels will began to change the behavior and ultimately leads along with the changes and the loyalty programs to a greater ability to push pricing, which is really what's been getting squeezed at this point in some of the major markets. As it relates to Airbnb, I just think it's going to take time for the cities to legislate, put people in place, provide funding, get the message out, find people and then ultimately change the behavior on the part of those who are illegally offering full units on the marketplace.
Anthony Powell: Alright. Thanks a lot for that answer. I appreciate it.
Operator: And we will now take a question from Shaun Kelley from Bank of America.
Shaun Kelley: Hey, good morning guys. I just wanted to touch or appreciate, you already gave a lot of color on some of the asset sales, but since the Manhattan collection JV is now kind of officially out there and we’ve already seen a couple of trade are pretty per key values in New York. Just give us a little color on who do you think right buyer is for that portfolio or what kind of interest you think you maybe garnering particularly from [stub] (Ph) and well since its sort of the 47% interest at least at this stage?
Jon E. Bortz: Yes Shaun I wouldn’t want to preclude anybody who is showing an interest in the property and suggesting that they might not be the most likely candidate. So I'm going refrain from giving you any color on the kinds of buyers that are likely to find either the joint venture interest or the whole portfolio attractive. Sufficed to say it's a very high quality portfolio as you know it's in midtown where there is far less supply being added in the marketplace and the barriers to entry historically are higher, the rooms are very large and we think there is some operational opportunity within the portfolio. As well as in some cases overtime, there may be some conversion opportunities where residential may be a higher and better use than hotel, but outside of that I prefer to refrain from commenting on who the likely buyers are, because it's really not for me to judge.
Shaun Kelley: That's still helpful and then I guess. You also mentioned in the release some of the kind of opportunities around the properties and I guess specifically it seems like that you mention parking facility and I think retail. Could you talk a little bit more about - I know we know some of the properties that you may have some of these assets actually you've called to fuel them out when you actually acquired the properties. But like could you just talk little bit more about just your strategically how you think about kind of those types of opportunities and how we might begin to quantify or think about those opportunities overtime?
Jon E. Bortz: Yes, I mean I think some of these properties or portions of properties have very significant value and the markets for those assets the private markets for those assets are in many cases in the markets we are in trading in the four to five cap rate range on NOI. So substantially higher multiples lower cap rate on those dollars than what the public markets are going to give us credit for overall for those income streams. And so that's what we are evaluating there is a process that would be involved obviously a portioning any part of the property requires going down the path of condominiumizing or partializing there is a portion of the government process as well as a private documentation process. And so look that will take a little bit of time, but we do believe that since those businesses are not core to our expertise and our focus, we can provide for the needs that we have at the property levels as a relates to those users by building that into the documents for the long-term, but we think perhaps other operators and owners are better able to maximize the performance of those assets and likely to maximize the value for us for those assets.
Shaun Kelley: That's helpful, my last one will be to go back to the whole cancellation rebook thing, because you mentioned in the prepared remarks specifically on that the industry or some people may be moving to a better solution or improving the solution on that. Can you just either elaborate on that a little bit or just what exactly needs to, you know needs to happen to kind of push that further, because what we've heard is I mean particularly amongst the independents like yourselves, if you move a hotel or two it's very hard, you see very large elasticity as when you go and try to change these cancellation policies unless other people are onboard in the market as well. I mean so what do you think begins this process or starts this process and why the confidence there.
Jon E. Bortz: Yes, so, you are right. I mean we can't be an island in a market whether we're independent or brand in the marketplace. So what gives us confidence is the conversations we've been having with the various brands within the industry who individually are testing right now different programs to solve this growing issue. And I think the reason we have some confidence based upon those conversations is because they understand the challenges that they are having with their management of those branded properties where they have had very high cancellations and their management people are screaming that they can't run the business. It's too challenging to run the business, it’s too difficult to forecast, there's no way they can maximize performance when there's this kind of level of cancellation. I mean within our portfolio as an example in December in New York our cancellations paid rooms in December was anywhere from 10% to 30% for an average of 20%. We were told by a brand that they had a property as high as 80% in the market and by some large operators in the market that they averaged 40% cancellations in the market. So everybody ended up kind of with the same occupancy levels, they were going to end up at, at the beginning of the quarter, they just ended up with much lower rates as a result of the musical chairs that went on, because we have given 100% flexibility to the customer. And at the end of the day there will be a balance and hopefully choice, I suspect choice that the customer will have as to how much they are willing to pay for that flexibility versus not.
Shaun Kelley: Got it, but to summarize I mean at least whether you think it, there's a brand led initiative here given that it seems to impacting a lot more people than just a handful of hotels at this point.
Jon E. Bortz: Yes, I mean, to anyone who thinks this relates to just us or the independent market is mistaken and the brands have to lead the way. They are the large players in the market, they generally set the policies they also obviously set the reimbursement program and how those work for the owners and those are in the process of being changed at least at one of the major brands or at least it's being tested right now and we do expect changes in that area again based upon conversations that we've had. The brands recognize the problems and have been moving forward at their pace to make changes and we think it's going to take probably 12 to 18 months.
Shaun Kelley: Thanks very much.
Jon E. Bortz: Yes.
Operator: And we will now take a question from Rich Hightower with Evercore ISI.
Rich Hightower: Hey, good morning everyone. I wanted to dig into the $38 to $42 per share NAV estimate and I'm just curious, you know if you could run through sort of the cap rates by region or by city that you estimate the portfolio would be valued at today and maybe how that was differed from what the public markets are telling you in terms of the share price. And then also you know has your cap rate changed at all over the past six months.
Jon E. Bortz: Okay, well we are not going to run through the cap rates by market just because we don't think it's necessarily just a market factor. I think the thing to remind folks is you know as we've stated over the years including my dozen years at La Salle, first of all properties with management and or brand available typically trade at 10% to 15% higher multiple than branded properties in the marketplace. Second thing is we have quite a few properties that have been through disruption that have gotten very significant capital very recently that aren't performing anywhere near a stabilized basis and so we think those asset are going to trade at cap rates that reflect the fact that they have been disrupted and aren't stabilized as appose to just putting on market cap rate on our an average cap rate throughout the portfolio. So our NAV range that we provided is based upon the cap rates for each individual asset based upon each individual assets situation, condition and while we think is the situation and the desirability of that asset for potential buyers in the marketplace. So on average we think that's somewhere between the 5.5 and a 6 which for many people may sound low, but again as we've indicated in our investment presentation there is a very significant amount of EBITDA not represented in our historical data either for 2015 or for 2016 in our outlook.
Rich Hightower: Okay and do you think that those cap rates that you are using have changed at all in the last quarter or two?
Jon E. Bortz: I think over the course of the last 12 months on average we've seen an increase in those cap rates, I would say probably 50 basis points. I think it may be lower in some markets and I think New York is a good example if anything cap rates have actually probably come down in New York, because assets are trading more on a price per key perhaps than they are on near-term cash flow. And then in some other markets that are more average or properties that might be a little more typical, maybe we've seen a 100 basis points increase in cap rates over the last 12 months. So I mean the range that we've looked that could be anywhere from a four, 4.5 with the portfolio all the way up to 7.5 or maybe even an eight.
Rich Hightower: Okay that's interesting Jon. And then my final question here is just on the first quarter guidance the range of RevPar given still fairly wide about 300 basis points from top to bottom. Given that we've get only five weeks left in the quarter, what could SKU the numbers to the low or the high end what would have to change from now until the end of the quarter?
Jon E. Bortz: Well I think what we saw in as last year progressed Rich, was that in the month, for the month and in the quarter, for the quarter bookings actually declined on a year-over-year basis and they did so at an increasing pace as the year went on. So and as you know we missed our top line ranges three quarters in a row, so we've widened the range hopefully enough in order to take into account any trends that might be continuing that we might not see so clearly.
Rich Hightower: Okay, thank you, Jon.
Operator: And we will now take a question from Bill Crow from Raymond James.
William Crow: Good morning Jon and Ray. Jon you just mentioned or contemplate these of the 1031 exchange with any assets sales proceed so that leads me to the following discussion. If you were successful at Manhattan sale that would push your San Francisco exposure up north of 30% I believe. And then if we look at some of that cyclical assets that you acquired early on and say well maybe some of those are teed up for possible sale, to me at least none of those are located in San Francisco so that would further push that exposure up and we are looking at a market that in 2017 and 2018 is probably going to be a weaker market on a relative basis. So help us think about San Francisco, which has already has a high operating cost basis and potentially weaker performance in the next couple of years?
Jon E. Bortz: Sure. Bill as we've talked throughout our history, we are focused on maintaining diversification and avoiding too heavier concentration in any market regardless of how well we actually might view that market on a long-term basis. So I think you should take that into account and thinking about where we might sell assets and whether there might be an opportunity to harvest some gains in a market like San Francisco in order to avoid our concentration increasing through a sale of assets outside of San Francisco.
William Crow: Okay and then on that market Jon have you articulated, I don’t recall seeing it, but anything related to the union settlement out there?
Jon E. Bortz: We have not Bill.
William Crow: Okay. And you don’t plan to or when Sutton was finalize you might is that fair?
Jon E. Bortz: That's correct that I'll know whether we will ever communicate anything and if we have anything to communicate we will.
William Crow: Okay, thanks guys. That's it from me.
Jon E. Bortz: Sure.
Raymond D. Martz: And Bill just to clarify for the San Francisco concentration if we were to say sales in New York, a limited concentration there we would increase our in terms of this concentration more to the 25% to 26% range necessary.
Bill Crow: Okay, thank you.
Jon E. Bortz: Okay. Thank you.
Operator: And we will now take a question from James Sullivan from Cowen Groups.
James Sullivan: Thank you, good morning guys. By the way great song, one of my favorites. Question on the demand side here, you talked Jon and then thank you again for all of the extensive commentary on the variables that you are trying to factor into your guide here. You talked about bringing down the demand growth forecast from what you had been talking about back in September 2% to 3% for 2016 and down to 2% to 2.5% range. GDP forecast that you are basing this on is 1.5% to 2%, so you know that relationship between demand growth and GDP is still kind of on the high side compared to what we're seeing historically. I wonder how you think about and you didn't break this out and I'm not sure if this is getting too granular here. But I wonder if you can break out your thoughts for demand growth in the urban markets. We know the urban markets have a supply issue, but they are also impacted by some of the other variables that are headwinds as you characterize them. So are you assuming that the urban market demand variable is going to be weaker in 2016 than for the U.S. industry overall.
Jon E. Bortz: Yes, we are and we think you know the biggest factors with that relate to sort of weakened business transient travel which fairly has a impact on the major cities maybe more so than the overall industry, because it's the leisure component or the drive component is lower than the suburban or resort markets obviously. Two, we think it'll be negatively impacted by the continuing headwinds from the dollar and inbound international travel. As well as outbound travel and you and I have talked about the very healthy robust growth in travel of U.S. citizens abroad. You know that tends to be people who are people of means and those people tend to be you know customers for the urban markets where average rates tend to be higher. So little more impact in the urban markets overall, and then at the margin there is some impact from the short-term rental management companies as we kind of work through this new process with the governmental entities.
James Sullivan: Okay, and then next from me, on the first quarter you talked about the Super Bowl and the results at your hotels during Super Bowl. You know in prior calls you have talked about Airbnb as having you know an especially noticeable impact around so called special events. Non-business special events and I guess the Super Bowl is a typical example. And you know, I'm just wondering, as you talked about the type of business you did for Super Bowl non-cancelable group. is the Airbnb impact in special events driving you to be more aggressive with the group segment in order to avoid the - you know rather than holding out for the strength in the pop on the ADR.
Jon E. Bortz: You know that's a really good question Jim, I think you know Super Bowl was an interesting situation, because I do think the NFL and the people who are in many cases going to that event were very committed to staying in hotels versus alternative stay locations and types of properties. I do think that from a strategic perspective, we're a little bit more focused on at least for us building a little bigger group base within the portfolio and I think Super Bowl was a combination of that as well as our experience with other Super Bowls which you know the hype often long transcends the reality. And so what we found that at least in markets like San Francisco that it will be a very good year, very good event, I think we averaged a dollar shy of $500 RevPAR for our six hotels in the market with the seventh one being closed obviously. And I think 70% to 80% of that was group and interestingly we did have some group cancellations of already prepaid rooms and where we could we turned around and resold those within the market to both groups and transient on a last minute basis. So I do think strategically we are a little more focused on building group base taking a little more group than we have historically. There are a lot of reasons for that one of them is that we see you know weaker business transient travel, which is a big component in the major cities.
James Sullivan: Okay and then finally from me on that group point, you know again historically you have tended to do less group than some of your peers, but those peers this earning season have cited a strong outlook for group this year as a factor in their guides. And I just wonder if you can help us understand the interplay when you have a strong group demand at the larger hotels typically historically I think that's enabled you to benefit by pushing ADR, but and are you assuming that strong group business that's been forecasted is going to materialize this year in spite of weaker corporate profits?
Jon E. Bortz: Yes we haven’t seen any increase in cancellations within the group category, the use for the group block varies depending the conventions specifically. There the only trend that we've generally seeing is that the host hotels in many cases have been perhaps weaker than some of the other properties to take group, because the consumer desires have been moving towards smaller or more unique hotels and experiences in away from some of the big boxes. But I think overall, putting more base whether it's group or contract or transient on the books ahead of time is all intended to mitigate some risk that relates to volume as well as rate when it comes to what the near-term bookings end up ultimately being. And if they turn out better than what the trends have recently been, then were going to see a lot more pricing power than we've seen. More recently and if they continue to be weak, then I think as we forecasted in our overall outlook these pace advantages of the client as we get closer to that the actual months that deliver the results.
James Sullivan: Thanks Jon.
Operator: And we will now take a question from Jeff Donnelly with Wells Fargo.
Jeffrey Donnelly: Good morning, guys. Jon I want to circle back on San Francisco is specifically efficient in the floor, how are you thinking about the outlook there in 2016, does the current environment feels like San Francisco overall been facing more Airbnb pressure than maybe other cities and [Moscone] (Ph) under renovation slightly that maybe Union Square and the financial disrupt hotels are going to provide a bit more competition for the traditional mid week transient demand. So just curious what you are thinking there?
Jon E. Bortz: Your premise in conclusion we would agree with, but isn’t what we've seen in the results between the two sub markets. So when we look last year at the Fisherman's Wharf, Nob Hill sub market there isn’t a specific sub market Jeff for just Fisherman's Wharf, but Nob Hill probably has some very similar or particularly heavy international use compared when you look at it with Fisherman's Wharf and you compared that to the market street or union square area. I think there is a 40 basis point difference in RevPar in 2015. So not really a material difference, even though we would have thought there would be. Fisherman's Wharf continues to see strong demand from leisure customers as well as some increased business customers due to the upgrading of the quality down at the worth of really the better part of the inventory in that marketplace.
Jeffrey Donnelly: And that's helpful. just maybe switching to the dispositions. I'm just curious how you are thinking about use of proceeds, because assuming you are successful selling assets. Do you think any incremental capital has to go to special dividends or whether it would be capital left over for you need to paid down or share repurchases?
Jon E. Bortz: Well part of the selection process has to do with generating net proceeds that will be used for a debt pay down and for stock buyback, in addition to any tax distribution. So it's really all of it's an integral go part of the selection of the properties that we are looking at selling along with lots of other criteria including have the properties stabilized, what's the near to intermediate term risk exposure, what's the interest level for these assets, how big is the gap between the public market and the private market values for these assets et cetera.
Jeffrey Donnelly: Understood and for the wholly owned assets that you are looking at potentially bringing the market. Is there a scenario where you contemplate an outcome such as when your competitors recently sold off a joint venture interest. Is that something that you guys would opened to or you are looking to really just sell assets out right?
Jon E. Bortz: Well I think we're going into with the idea that were going to sell the assets out right and if there is a another opportunity that presents itself that might involve us continuing to be involved, I think we would look at it but we would look at it in light of that needs to be compelling.
Jeffrey Donnelly: Understood. And just one last question, maybe that keep filling the whole day. Given typical marketing and closing periods, what do you think is the earliest timeframe that we might see something close. Is that more of a second and third quarter event or do you think it's later than that I'm just curious what your thought is?
Jon E. Bortz: I think it's likely to be second quarter through the end of the year.
Jeffrey Donnelly: Okay, thank you.
Jon E. Bortz: Thanks Jeff.
Operator: And we will now take a question from Neil Malkin from RBC Capital Markets.
Neil Malkin: Hey guys good morning.
Jon E. Bortz: Morning.
Neil Malkin: First question is on the CapEx or the investment spend you guys have this year, elevated from 2015 and just given where we are in the cycle and granted you guys are the experts at repositioning assets. How did you think about you know balancing demand spend versus where you are in the cycle as well as the longer than expected brands on time for your repositioning assets and you know the background value creation.
Jon E. Bortz: So you know the value creation part works in both a down cycle and in up cycle. Because it's all about relative performance and so to the extent that there is an opportunity to reposition an asset and the returns are attractive enough you know we will move forward with those as we are doing now. It's the other properties and we've had discussions with folks you know who have a view that later in the cycle you should stop investing in your hotels or refrain or limit your investing in hotels. And the issue is that a lot of these properties are in a normal cycle of capital maintenance where rooms begin to get tired and if you don't put the capital in and redo those rooms they lose share and your relative performance declines actually and declines at an accelerating pace until you put that capital in. And so what we've always found over the last you know 17, 18 years has been it's far better to be early in fact a year early than it is to be a year late in refurbishing your hotels. And so there are a number of projects we have this year that are refurbishments the rooms at the Monaco DC as apart from the reconcepting of the restaurant there which is an ROI project, but one that again if we don't do something with the restaurant, it will continue in its sort of life cycle which often an annual decline in performance, because restaurant concepts face a lot of new competition on a regular basis. So I mean we look at all the projects each year, we want to make sure that we do these projects either early or on time and as it relates to the ROI projects, I mean it's all about the return being attractive enough and yes of course we consider where we are in the cycle, because it has an impact on risk and how quickly you can ramp up and that's taken into account in our ROI analysis.
Neil Malkin: Okay, thank you for that. My next question is you know can you kind of talk about the benefits or detriments from soft brands or being branded in this environment versus your heavy independent focus just in terms of RevPAR performance from you just increased or more efficient distribution channels with a brand. And then how do you weigh those versus I guess better bottom line results because you're not paying those you know 8% to 10% you know fees for being affiliated.
Jon E. Bortz: So, you know, we have a multicycle experience with this from you know my time at La Salle where we went through two down cycles, through this ongoing up cycle, and what we found is the independent properties compete just as well if not better in down markets than up markets. The brands would want you to believe otherwise and those who own brands predominantly would want you to believe otherwise, but that in fact has not been our experience. You need to have good operators, you need to have good independent or small brand operators, but the differential, we don't see a differential at the top line and in fact we see a benefit at the bottom line, because you have more flexibility. You are not stuck with branded rules which even the soft brands have and while the soft brands give you more flexibility with design and to some extent operations although more limited they are still very expensive. They are just as expensive as any of the major brands within as compared to independent properties or small brand property. So, I mean we'll always evaluate them to see if there's a better alternative and it would be particularly the case with larger properties because there is a point at which it becomes more challenging as an independent hotel to drive an up business to the hotel versus what a branded or affiliated soft branded property could bring. But that's an analysis as an example, we went through at our property in Santa Monica when we could have in taking the Sheraton flag off we could have made it independent. We chose to keep it as a Meridian and the properties doing very well and Starwood appreciated that decision at the end of the day which I think benefits us in the long-term from a relationship standpoint. So we look at all the alternatives on a constant basis and the great thing about independent properties is particularly with these soft brands we can always flag and if we want to if we think there is a benefit.
Neil Malkin: Okay, great. And then the lastly from me I think you gave supply and demand expectations for the industry, but Pebblebrook portfolio footprint what's your expectations for demand and supply for 2016?
Jon E. Bortz: So I think the way to look at it is for out of our 2% to 4% RevPar growth there probably a 100 basis points give or take of occupancy growth and the rest is a ADR growth.
Neil Malkin: Alright, thank you guys.
Operator: And we will now take a question from Ian Weissman from Credit Suisse.
Ian Weissman: Just two quick questions. We talked offline about asset pricing today in particular noting that I think you guys said for the best assets and the best markets asset pricing has remain fairly firmed despite what we would say dislocation at credit markets. Can you just talk about whether the same exists for a portfolios, in other words for companies that's traded 30% to 40% discounts to NAV do you anticipate more industry consolidation?
Jon E. Bortz: I think the industry consolidation in terms of the REITs is always been way down the list for a lot of different reasons not the list which are social reasons. But I think we do think that will continue to be more consolidation on the brand and management side, because I think scale is increasingly important in that sector I don’t think scale is important on the ownership side beyond being too small very small. I think as it relates to portfolios, your question about portfolios, I think that market is the little more challenged because of the regulations on banks to limit lending to six times EBITDA and so with the lower levered nature of the companies in this cycle I think it is more difficult. But as Blackstone has proven not only with strategic. but with other companies in other sectors of even larger size there still is some market for companies when they become attractive enough from a valuation perspective.
Ian Weissman: Okay, that's helpful. And just finally on Airbnb just given your portfolio concentration what you talked about the growing threat. Is there any way that quantify the impacts for you guys in 2016, so figure 2% to 4% RevPar guidance how much of the haircut if you can put sort of numbers around it, did you take for the growing threat of Airbnb?
Jon E. Bortz: Yes. We can't put any numbers on that Ian, I mean there is just isn’t good information on that. And again I tend to think it's not a growing threat, I think it's a threat and I think it will actually moderate overtime and perhaps shrink overtime.
Ian Weissman: Okay that's very helpful. Thank you very much.
Operator: And we will now take a question from Lukas Hartwich with Green Street Advisors.
Lukas Hartwich: Thank you. Jon last quarter you gave some helpful color on the portfolios performance versus the comp set and I was hoping that you might be about to do that again this quarter?
Jon E. Bortz: Yes. So overall Lucas, I think we underperformed our comp sets for the year. We gave a number of reasons throughout the year that included renovations, it included change in leadership within the portfolios, in some cases included strategy shifts to ADR and EBITDA and away from RevPar overall. But I think we lost a little over a 100 basis points on a star share basis and I think our comparison on a weighted basis to our tracks through our urban markets I think the differential was a pretty similar I think about a 120 to 140 basis points.
Lukas Hartwich: That's helpful. And then obviously we have seen a lot of articles on the tech sector and what's going on there. Are you seeing any changes in tech demand?
Jon E. Bortz: No. In fact in the budget reviews we had at the end of the year and subsequent to that I mean what we found in market like San Francisco which would be foster child for the technology industry obviously, we saw a fairly healthy increase in holiday parties and spend at those holiday parties both in December and in January.
Lukas Hartwich: Interesting and then the last one from me. Is there anything you are hearing from your corporate accounts that would explain the weakness that we've been seeing in corporate transient travel or is it just more general I mean the strong dollar lower global GDP growth that sort of thing?
Jon E. Bortz: Yes. Outside of the energy and some of the manufacturing industries and maybe just a touch of the financial industry, some of the banks. We really haven't heard anything from corporate accounts in terms of change of policy and so you know we also spent some time talking to the brands who obviously have a much broader and clearer picture, because they have many more accounts and see the whole U.S. versus a particular market and we didn't get that from them either.
Lukas Hartwich: Okay great. That's it from me thanks.
Operator: And with no additional questions on the telephone I would like to turn the conference back over to Jon Bortz for any additional or closing comments.
Jon E. Bortz: Thanks Lisa. Thank you everyone for participating, sorry about the length we thought you might find the level of detail helpful and we look forward to updating you in a couple of months, thanks, bye-bye.
Operator: And ladies and gentlemen this does conclude today's conference. We do thank you for your participation. Have a wonderful rest of your day.